Operator: Good morning, and welcome to the Marpai Second Quarter 2024 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Steve Johnson, Chief Financial Officer. Please go ahead.
Steve Johnson: Good morning, and welcome to the Marpai’s second quarter 2024 earnings release webcast. With me this morning is Damien Lamendola, CEO and Director of Marpai. If you turn your attention to the slide, it is that we have our required safe harbor and forward-looking statement disclosure.
Damien Lamendola: Hello. Since I became CEO, our team has worked tirelessly on Marpai’s turnaround. As many of you know, I have invested not only in my time, but millions of dollars into our company. I have never been more committed to our company and our stakeholders. This commitment stems from what we see in the TPA marketplace. Our new leadership and our employees’ commitment to turning Marpai into a positive cash flow company. Our focus has been on profitably growing the company and achieving positive cash flow, which is beginning to manifest in our financial results, including significantly cutting costs, rightsizing our balance sheet, and improving our cash from operations. I am highly encouraged by our improvements. Our sales team has done a great job of repositioning Marpai to new and existing customers. I remind you that our total addressable market is $22 billion in growing. I will now turn the call back to Steve to discuss our financial results.
Steve Johnson: Thanks, Damien. We filed our 10-Q yesterday after the market closed, along with the earnings release, and I would invite you to review the details in those documents. I will briefly cover some highlights of the following achievements year-to-date. While our revenue declined by 28% year-over-year, we cut cash operating expense by 38%, saving approximately $4 million. Our cash operating loss was reduced from approximately $7.3 million to approximately $4.7 million for the second quarter. As Damien alluded to, we rightsized our balance sheet by selling non-core assets, adjusting assets to the current fair value, as well as extending the maturity of our net debt. These changes will provide resources for growth and make future investment yields a higher return on capital. As a result of our turnaround plan, our cash used in operations improved by approximately $2.3 million in the second quarter of 2024 versus the second quarter of 2023. Leading to a net cash increase of approximately $0.6 million in the second quarter of 2024, which is a decrease of the cash in the second quarter of 2023 of approximately $2.3 million. Again, in the second quarter of 2024, we had a net cash increase of $600,000, up from the previous year’s decrease in cash of $2.3 million. I would now like to turn it back over to Damien.
Damien Lamendola: Thank you. Marpai is all about saving enterprises of all sizes significant money in managing employees’ healthcare costs. As I mentioned earlier, it is a $22 billion industry and growing. Our company is undergoing substantial changes that point to growth and positive cash flow. My commitment to all stakeholders has never been stronger. One area I am not happy with is our stock price. I believe we are horribly undervalued. As the turnaround unfolds and we continue to improve our financial metrics, and we continue to grow our market presence, I believe the financial markets will take notice. Thank you for your time today. I remain committed and excited to be leading your company. Thank you for your continued confidence and support.
Steve Johnson: Thank you, Damien. This completes Marpai’s second quarter 2024 earnings call. If you have questions or require further information, please see the information on the screen or go to our Investor Relations website. This webcast will be available for replay. Thank you again for joining us this morning.
Q -:
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.